Operator: Greetings, and welcome to Radius Global Infrastructure First Quarter 2022 Results Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jason Harbes, Head of IR. Thank you, and over to you.
Jason Harbes: Thank you, operator. And welcome everyone to the Radius Global Infrastructure first quarter 2022 earnings call. On this morning's call, Bill Berkman, our CEO and Co-Chairman, will provide an overview of our first quarter 2022 results, followed by a more detailed update from Glenn Breisinger, our Chief Financial Officer. After these comments, we will open up the call for your questions. Before we begin, I would like to remind everyone that many of the comments made today are considered forward-looking statements under federal securities laws. As described in our earnings release and filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed. These statements speak as of today's date, and we undertake no obligation publicly to update or revise these forward-looking statements. In addition, on today's call, we may discuss certain non-GAAP financial information. You can find this information together with reconciliations to the most directly comparable GAAP financial measure in yesterday's earnings release and the supplemental financial information available on our website at www.radiusglobal.com. Bill?
Bill Berkman : Thank you all for joining us today for our first quarter 2022 earnings conference call. I am pleased to report continued strong growth in the first quarter. We now own over 8,300 lease streams on over 6,300 digital infrastructure sites in over 20 countries. During the first quarter, we deployed approximately $75 million of Acquisition CapEx, representing approximately $6 million in additional annualized rents, resulting in $30.6 million of GAAP revenue for the quarter and increasing our total annualized in-place rents to a run rate of $125 million. This is a year-over-year increase of 38% for our portfolio of high-quality, primarily triple net annually escalating untapped local inflation-linked cash flow streams underlying our digital infrastructure-related sites. As we previously mentioned, the timing of certain transactions can be difficult to predict. Please note that we have few deals that were originally scheduled to close in the first quarter that we now expect to close in the second quarter. Notwithstanding this, based on the deals that we've already closed this year and our current pipeline of investment opportunities, we remain optimistic that we will exceed our previously issued outlook for the deployment of at least $400 million of Acquisition CapEx during 2022 ideally by a comparable margin. As a reminder, we're continuing to broaden the scope of properties we seek to acquire to a wider pool of digital infrastructure and related assets. All of these with similar attributes to the real properties we own underlying wireless towers and rooftop cell sites. These additional asset types include rents generated from fiber aggregation points of presence, indoor wireless distributed antenna systems and data centers. We're also pursuing tower build-to-suit opportunities where we are developing and constructing towers upon the award of a contract from a tenant in certain markets where the risk-adjusted returns meet our investment criteria. The digital infrastructure-related assets that we seek to acquire are predominantly long-duration, triple net rental streams, where our primary tenants are the world's largest mobile network operators and communications and data infrastructure companies. These rental streams typically underlying strategically located properties and sites and are characterized by being difficult and expensive to move or replicate and recession-resistant as they are an essential component of our tenants' delivery of a variety of mission-critical communications and data services. Including the capital raised from our April 2022 debt refinancing, which our CFO, Glenn Breisinger, will discuss in more detail, we now have approximately $846 million in cash and equivalents on our balance sheet. The vast majority of this cash is available to deploy for acquisitions and development opportunities that meet our underwriting criteria and target returns for our shareholders. The timing of our aggressive capital raising activities over the last 15 months was purposely pursued in anticipation of shifting trends in the credit markets to ensure we have a level of liquidity to which we can deploy to meet our origination goals for the coming quarters. Note that all of our outstanding debt is fixed rate or capped interest only and has a weighted average remaining term of over 6 years. As yet another reminder, most of the senior management team has worked together for over 30 years. We believe our decades of experience building, operating and investing in communications infrastructure across economic cycles, combined with our 300-plus multi-jurisdictional team and proprietary database and analytics we've built over the past decade remains some of the most important competitive advantages we possess. Based on the enormous addressable market of over 1 million wireless sites in our current markets, not even factoring in other new jurisdictions we can expand into as well, as well as additional fiber and DAS assets for us to target, we continue to believe that we've only scratched the surface of the digital infrastructure-related opportunities globally. Glenn Breisinger, our CFO, will now provide an overview of our current holdings and financial results in more detail. Glenn?
Glenn Breisinger : Thanks, Bill. We continue to grow the portfolio in the first quarter, taking advantage of investment opportunities across our expanding global footprint to deploy capital. As of the end of March, we owned real property interest in over 6,300 sites with over 8,300 lease streams represented by a tenant base comprised of 38% tower companies and 62% mobile network operators, the vast majority of which are investment grade. With respect to our $125.4 million of annualized in-place rents as of March 31, 45% are denominated in euros, 17% in British pounds, 16% in U.S. dollars, 3% in Australian dollars, 2% in Canadian dollars and the remaining 17% in other global currencies. Approximately 83% of our rents are located in developed markets with the remainder predominantly based in Brazil, Chile and Mexico. Importantly, nearly 80% of our portfolio has contractual uncapped local inflation-linked or inflation-related escalators, which provide us with meaningful protection against the impact of rising inflation, while also meeting the impact of rising interest rates. The other 20% of our portfolio has annual contractual escalators that are generally fixed at 3%. Geographically, these escalators, rents are primarily located in the U.S., Canada and Australia. Revenues were up 38% to $30.6 million in the quarter, and gross profit or what we refer to as ground cash flow rose 36% to $29.8 million, resulting in a gross profit margin of approximately 97%. We deployed $74.6 million for Acquisition CapEx in the first quarter compared to $107.8 million in the first quarter of 2021, representing $5.8 million in annual rent across 194 new lease streams. We anticipate that these new lease streams will generate a fully burdened initial cash yield of approximately 6.5% on a total gross spend basis, which includes approximately $15 million of origination SG&A that we spent in the quarter. Please note that this 6.5% when compared to previous years does not reflect the same-store sales as each quarter we are acquiring assets from a different mix of countries that have different acquisition cap rates due to many factors that may vary by jurisdiction. In the first quarter, our existing portfolio rents on a constant currency basis, excluding rents we acquired in the quarter, generated approximately 4% revenue growth from the combination of our contractual escalators and organic revenue enhancements, which was then partially offset by approximately 1% of gross churn, resulting in net organic revenue growth of approximately 3% on a year-over-year basis. This compares to 2.7% net organic revenue growth in the first quarter of 2021. This quarter-over-quarter increase is partially due to our contractual inflation based escalators, which are beginning to reflect the significant increase in inflation across all of our jurisdictions, which reached a 20-year high in 2021. Turning to our balance sheet and liquidity. During the quarter, we borrowed an additional EUR225 million as part of a new EUR750 million financing facility that the company entered into in December 2021. The initial borrowing of USD257.5 million as of the funding date has a fixed annual interest cost of approximately 3.2%. This new borrowing matures in January 2030. In the beginning of the second quarter, as we recently announced, we refinanced our existing $102.5 million (sic)  domestic senior secured facility, which was scheduled to mature in October of 2023, and we entered into a new $165 million facility. This loan accrues interest at a fixed annual rate of approximately 3.64% and will mature in April 2027. This compares to an interest rate of 4.25% under the previous credit facility. As part of the closing of the transaction, Radius received an A rating from Fitch for the facility, which has a leverage cap of 9.75x eligible annual cash flow, defined as annual in-place rents less a servicing fee. Inclusive of this recent refinancing, Radius now has $1.6 billion of total gross debt outstanding and net debt of $793.2 million as of the end of the first quarter. Again, all of our outstanding debt is interest-only fixed rate or capped with a rated average cash coupon of 3.6% and a weighted average remaining maturity of 6.2 years. As Bill mentioned previously, the company had approximately $846 million of liquidity, most of which is available for incremental investments as of March 31. Please refer to the supplemental materials posted to our website yesterday after the market close for additional details. Bill?
Bill Berkman : Thanks, Glenn. Before we open the call for questions, I would like to acknowledge the market rumors that surfaced in the media last week. While we're always focused on shareholder value creation, as I'm sure you can appreciate, we have a policy of not commenting on market rumors. Accordingly, we request, and I really mean we request that you please keep questions today related to our first quarter results and to our business and outlook. With that, operator, please open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. . First question comes from the line of Ric Prentiss with Raymond James.
Richard Prentiss : A couple of questions. I'll respect your request not to ask about the market rumors, although we're all actually obviously very, very interested in that. Maybe a way of asking a related question would be, you have the Series A Founders Preferred Stock. I see you made the announcement that we're going to pay the shares in May -- May 13, I think for this year -- the '21 performance. How do those work in case there was a potential deal? Is there value that has to get ascribed to them with a cumulative value? Just wondering how -- if there was some strategic transaction, how we should think about those Founders -- Series A Founders type stocks?
Bill Berkman: Look, it's a good question, Ric. What I guess I can say is it really depends on the type of transaction. And I think that's probably all I should say right now on it because it's quite complicated.
Richard Prentiss : Yes.
Bill Berkman: And I think yes, I think that's all that can be said right now. I hope that's okay.
Richard Prentiss : That's fine. We're just -- I guess, a second type of question along with that is, I think last year, the Founders -- Series A Founders shares were paid like in February, this year in May. Is there some reason why that varies what month or quarter it gets paid out in any given year?
Bill Berkman: No. It is a cumulative preferred and from a timing perspective, most of the time, we're just trying to get our act together and work through lots of things that we've got going on, as well as quoting with our Board to make the declaration. So no, there's no rhyme or reason candidly.
Richard Prentiss : Okay. And then a separate question. Obviously, origination SG&A that we exclude from our AFFO calculation and valuation efforts did go up in the quarter. How should we think about the trend line of that origination SG&A line? Is that something that only goes up over time as you enter more countries? Is it something that fluctuates up and down as transactions are being worked on, but maybe not even consummate? Just trying to think of the trend lines and how we should think about that line?
Bill Berkman: I think it's going to trend up and down because a lot of it's driven by, a, which country we're in, what type of transaction and asset type we're doing, some of the aggregation points are larger scale portfolio base, which can be more efficient from an acquisition SG&A. But again, with this one, it's awfully hard to predict. Glenn, would you add any other color to it?
Glenn Breisinger : No, I think we've covered the relevant items as far as timing is concerned and some spend ahead of realizing rent streams as we grow the .
Richard Prentiss : Right. And is there some money in there for deals that maybe haven't closed yet that were maybe slipped from 1Q to 2Q? Could there be some money within the quarter that didn't actually ?
Bill Berkman: Absolutely.
Glenn Breisinger : Yes. Yes. Well summarized, Ric, that's absolutely the issue.
Bill Berkman: It's hard how -- we only want to give the annual guidance, Ric, because of just the lumpiness of how quarters work and  arbitrary date.
Operator: The next question comes from the line of Sami Badri with Credit Suisse.
Bill Berkman: Hey, Sami, how are you doing?
Sami Badri: Hey, doing really well. So first one I wanted to kick it off with is regarding the inflation-linked escalators and the capped versus uncapped kind of conversation. So really, I think we understand that you guys have not capped escalation. Now what does that functionally mean with your customers in the negotiations? Does that mean that it's an open conversation with the customer or do you just -- you come up with a number that you think is fit? You put it in the contract and that is -- it is -- that is the CPI escalation. Could you just walk us through how those usually go?
Glenn Breisinger : Yes.
Bill Berkman: Yes. I mean I think right now for the moment, we are negotiating site by site. And when that happens, the historical paradigm has been uncapped CPI escalators in almost all the countries, excluding the U.S. and the U.K. And so what happens then is our perspective is that inflation has been low for a long period of time in the past, they got the benefit about over 10, 20 years historically, and now going forward, it may actually be -- it may increase because of the environment we're living in. That being said, it's basically a negotiation, no different than any other negotiation. I think the good news is we try to be a good landlord. We have discussions about should we ever do a master lease all the time with various counterparties, whether or not we can reach a win-win situation, I think time will tell. But I feel very good that we will continue to have uncapped escalators as part of these negotiations.
Sami Badri: Got it. My other question is, when you think about the regions or countries that are taking the most amount of time to deploy CapEx and acquire sites, which regions or countries are essentially seeing elongated lead times to completing a deal or what's moving a lot slower than you guys expected?
Bill Berkman: Well, I think it's really about asset type when the deals get larger, sometimes it takes more time. But every single deal, we always like to refer to it as sort of social investing because you're dealing with another human being on the other side, and you can't always predict the pacing of when a transaction happens or gets done. You just can't.
Sami Badri: Got it. My last question, I know you guys can't comment about activity or anything that's been in the media or the news. But one thing that one question we get often from investors is, what if your business was operating in the private market, what leverage level could it operate at? Can you just give us some insights in terms of how to think about that?
Bill Berkman: Yes. I mean I think if you're asking what's the maximum amount of leverage we could put in the business. I have a hunch we could take it up, probably a fair amount more. But then the question is whether you're private or public is sort of it's irrelevant to that decision, it's more as an investor, how much risk, how much reward. Clearly, we've tried to take the steps to give ourselves enough liquidity to be able to fund many quarters going out or actually, we're really successful, maybe not that many quarters, but the point being that we lock in rates now, we raise a lot. We do like to run with cash on the balance sheet or a cushion because lets  at night, perhaps in a private setting, one wouldn't need as much of a cushion. But it really depends on facts and circumstances when you compare public versus private.
Operator: Thank you. The next question comes from the line of Nate Crossett with Berenberg.
Nathan Crossett : Just on the pipeline, how far out can you normally have visibility to? Is it 90 days or is it 6 months? And then also when we're thinking about that $400 million, how much of that should we kind of assume is tower ground leases versus the other types of assets that you're doing?
Bill Berkman: Both good questions. I'll take the second one first. We just haven't broken them out. A lot of it is because we think the asset classes are really the same risk reward investment analysis for us. And rather than detailing one versus the other and then having a lot of complexity and confusion for our shareholders, our perspective was if you have the same tenant, the same credit quality of the tenant, same type of lease contracts, same uncapped inflation escalators, we just have historically and even going forward have not broken that out. In terms of your first question, I'm spacing on what it was. Do you mind repeating it, Nate?
Nathan Crossett : Just the visibility, how far out do you actually have kind of...
Bill Berkman: The visibility. Well, it's like with any pipeline, we have visibility, I think to the size of the pipeline. It's just what do you think your conversion will be in the pipeline? What's the pacing of the conversion? Because obviously, you're never going to hit it perfectly every quarter because that's not a likes like. And then once you have done the conversion at what entry price or entry cap rate are you paying to be in there. Those are harder to predict, which is why I think we've come to trying to give a year guidance as opposed to quarterly because we just don't know, a, the pacing quarterly. And if we go out too far, it's just hard to know how much the conversion will be because the market and the world can change. I mean, as you -- give an example, think about what our world looked like 6 months ago or 12 months ago given a Ukraine war and all the other elements of volatility that the markets are seeing presently.
Nathan Crossett : Okay. That's helpful. Just one on pricing. How has kind of that moved in relation to rates and your ability to kind of adjust that pricing?
Bill Berkman: That's a really good question. I think that it's probably going to be able to be better answered next quarter because there's always sort of a lag before the market kind of understands that rates are moving. And so we will see whether or not and how that trickles down into the one-by-one acquisition market. On the larger scale deals, we will see it to some extent because the counterparties are more sophisticated typically, and these are all generalizations.
Nathan Crossett : Okay. That's helpful. Maybe just one quick expense question. I heard that you guys didn't renew your office space. Is that true? And I just want to know like what's the rationale?
Bill Berkman: It's not that we didn't renew our office space, you're going to laugh. It's part of our lease, everybody in the building got kicked out because the landlord sought for wanted to convert the building to condos for residential use. And so we all have to go find space, and we're in the process of negotiating a new lease slowly because New York real estate owners or landlords are not the easiest people to negotiate with. But we're hopeful that we'll be in the space in the next 2 to 3 weeks if we're lucky, if we're lucky.
Operator:  The next question comes from the line of Jon Petersen with Jefferies.
Jonathan Petersen : Great. Apologize if I missed this. You're not the only company with M&A rumors swirling. But did you break down your acquisition this quarter, how much of it leaned towards land under towers, rooftop easements, other type of stuff?
Bill Berkman: No. We typically haven't done it, and we didn't do it this quarter either. And yes, we -- I just answered that question for someone else. It's just because the rent streams are, in our mind, really equivalent because of the similar tenant, similar contractual term, similar delivery or underlying property for mission-critical services. So we just haven't broken it out.
Jonathan Petersen : Okay. And then on -- I guess maybe a follow-on to that comment on different fee streams. So on Page 16 on the supplemental, you guys break out the property right type, about 36% is fee simple and the rest of it's easements, leasehold interest, things like that, that aren't fee simple, permanent ownership. I mean how do you guys -- when you buy these different property types, how do you underwrite the difference in your right to the land? And how do you feel like that those valuations should be viewed differently within your portfolio?
Bill Berkman: It's a great question. I would say that the actual property right, we don't really distinguish. Often times, we prefer not to buy fee simple because, of course, we're not taking on the burden of utilities, maintenance or taxes. The other thing that happens is if we buy less than a fee simple perpetuity or 99 years, we do get to amortize for tax purposes, that property right, which has substantial value to let us shield what would otherwise be a taxable income. And then in certain countries like Latin America, we typically like to buy shorter lives because we view it as effectively at our option if and when we want to go extend that particular property right. And typically, if you go back to someone and let's say you've got 20 more years left, we do track their age, and we say to ourselves, let's go buy years 21 through 50, we believe that the price that we would have to pay or even the structured finance approach we may take that, that incremental value will be nominal. And then the last thing I'd say is that what's interesting is when you have uncapped inflation escalators, the movement of 25 basis points over the duration of your property right of an inflation escalator which you can't predict is in some respects the equivalent of many more years of property right duration. So it just says it's awfully hard to value that inflation escalator. So we think about that as we kind of review where we are in our property right term. I hope that's helpful.
Jonathan Petersen : Yes. No, that's really helpful. And I am just curious because on the fee simple interest, like is that -- does that lean more towards North America versus Europe versus Latin America? I mean, is there one market that kind of stands out is making up the majority of that?
Bill Berkman: I think it's -- sometimes it's -- it is all over the place, I would say at the moment, it's probably leaning more towards Europe at the moment because that can change.
Jonathan Petersen : Okay.
Bill Berkman: Oftentimes, it's what is the seller willing to do, and then, of course, as I mentioned, Latin America, we're going to typically want to buy shorter.
Jonathan Petersen : Got it. And then...
Bill Berkman: I mean, sometimes you get frustrated because you want there to be patterns, right?
Jonathan Petersen : Yes.
Bill Berkman: But when you think about it, when you have all these individuals and the fragmentation of our markets, it's not always going to be, oh, we know this is always going to happen and we can predict what the trend will be, it's just not like that. People will -- as an example, people sell when they need money or they sell when they're afraid, right? Environments like this are typically good for us, and it's sad to say, but when you have war, when you have a recession or a potential recession or rates move around or volatility, people then will desire to derisk.
Jonathan Petersen : Makes sense. And then in terms of your tenant types, you've kind of floated around 40% being from TowerCos, but you do have a lot of Europe, and we're seeing a lot of these European portfolios from the carriers being sold to the TowerCos. I mean do you think that opens up opportunities for you to sell maybe smaller portfolios to the TowerCos or one-off properties? I mean we don't get much disclosure from you on when you guys ever sell some of your fee streams to the TowerCos.
Bill Berkman: Sure.
Jonathan Petersen : I mean is that a significant thing that's happened? Is it something that could happen more?
Bill Berkman: We -- I don't think we've ever done it to be honest with you. You're asking a good question because the traditional triple net companies that are out there publicly traded underneath the KFCs or other sort of retail outlets, they do every year sort of weed out the portfolio and sell some. We do get people who call all the time offering to buy certain components of our portfolio, and that's one way to form capital, which is to sell . But for the moment, we've always thought that getting to much greater scale is more important than just selling a small part of our portfolio. So typically, as we get to scale, I think we've always believed that at some point, we'll get into a good master lease agreement with some of our largest tenants, and those are the American Towers, the Cellnex's, Vantage is just 3 examples.
Jonathan Petersen : Got you. Okay. That's all very helpful. Thank you so much.
Bill Berkman: Sure.
Operator:  As there are no further questions, ladies and gentlemen, we have reached the end of question-and-answer session. And I would like to turn the call back to Bill Berkman for closing remarks.
Bill Berkman : Thank you, operator, and thanks, everybody for joining us today. We remain excited about the opportunities in front of us in 2022 and thereafter. And, of course, we look forward to catching up with each and every one of you individually, and always feel free to reach out to Jason Harbes, who runs Investor Relations for us if and -- if you'd like to speak to us directly. Thanks again.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.